Operator: Good day, ladies and gentlemen, and welcome to the Encore Capital Group Second Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like introduce your host to this conference call, Mr. Adam Sragovicz. You may begin.
Adam Sragovicz: Thank you, Kevin. Good afternoon, and welcome to Encore Capital Group's Second Quarter 2013 Earnings Call. With me on the call today are Ken Vecchione, our President Chief Executive Officer; and Paul Grinberg, our Executive Vice President and Chief Financial Officer. Ken and Paul will make prepared remarks and then we will be happy to take your questions. Before we begin, we have a few housekeeping items. Unless otherwise noted, all comparisons made on this conference call will be between the second quarter of 2013 and the second quarter of 2012. Today's discussion will include forward-looking statements subject to risks and uncertainties. Actual results could differ materially from these forward-looking statements. Please refer to our SEC filings for a detailed discussion of potential risks. During this call, we will use rounding and abbreviation for the sake of brevity. We will be discussing non-GAAP financial measures; reconciliations to the most directly comparable GAAP financial measures are included in our earnings release, which we've filed on Form 8-K earlier today. As a reminder, this conference call will also be made available for replay on the Investors section of our website where we will also post our prepared remarks following the conclusion of this call. With that, let me turn the call over to Ken Vecchione, our President and Chief Executive Officer.
Kenneth A. Vecchione: Thank you, Adam, and good afternoon, everyone. I appreciate you joining us for a discussion of Encore's second quarter results today. Once again, we all delivered a disciplined approach to portfolio underwriting and management. We delivered strong performance across all the key financial metrics by which we manage our business. Excluding onetime expenses and convertible noncash interest, our earnings for the quarter were $0.85 per share. Paul will review the onetime expenses in more detail in his presentation. Cash collections increased 16% to $278 million. Even though we deliberately slowed down our purchasing volumes in the first and second quarters in anticipation of the Asset Acceptance acquisition, our continued ability to identify and engage those consumers to the greatest likelihood of recovery enabled us to drive strong growth in collections. Adjusted EBITDA was $177 million in the second quarter, an increase of 20%. Our overall cost-to-collect decreased 70 basis points to 38.8%. This reflects savings achieved in various operational strategies, which were partially offset by investments in our internal legal initiatives and additional spending required to proactively manage the changing regulatory and legislative environment in which we operate. With the acquisition of Asset Acceptance and the strong performance of our portfolio purchased over the last few years, our estimated remaining collections, or ERC, at June 30 increased by $760 million to approximately $2.7 billion. In addition to achieving these strong financial results, we also made several key strategic moves, which will provide us with long-term advantages and further strengthen our industry-leading debt purchasing and recovery platform. I'll highlight these strategic moves now and will go into more detail later in the presentation. We closed the acquisition of Asset Acceptance in June, largely satisfying our purchasing goal for the year and providing us with a better return than we would have achieved buying portfolios in the open market. We announced the acquisition of a controlling interest in Cabot Credit Management. This represents a major milestone for Encore as we entered the U.K. debt buying and recovery market for the first time through a leading player with a long track record of steady growth. We also completed the placement of $150 million of 7-year convertible notes at a cash coupon of 3%. This provides us with long-term financing at attractive rates. An additional $22.5 million of underwriter's overallotment was also exercised, demonstrating our ability to access the financial markets and the market support of our strategy and approach. Turning to capital deployment. We had a strong quarter on our core business driven primarily by the $381 million allocated to the Asset Acceptance portfolio, so we'll discuss the allocation of the asset purchase price in more detail. We also deployed $60 million in capital for Propel, which I will discuss in more detail shortly. Although Asset Acceptance will make up a significant portion of our purchasing volumes for the year, there are other catalysts and drivers to opportunities in the core business that we are tracking closely. First, on the demand side, we've seen smaller competitors being driven out of the market because of the high cost to operate particularly as the regulatory environment grows more complex and credit issuers become more selective about who they will sell to. On the supply side, we expect a number of issuers to complete their debt buyer audits and return to the market by the end of this year or the beginning of next. The issuers are also starting to lend again, which we will expect will lead to higher levels of delinquencies and charge-offs in the future. Our strong capital deployment in the quarter, particularly our acquisition of Asset Acceptance led to significant growth in our estimated remaining collections bringing it to $2.7 billion. Our ERP has grown over 40% from the first quarter this year. We expect ERP to continue to grow in Q3 as a result of the acquisition of Cabot. In fact, we expect Encore's ERP to increase to more than $3.3 billion after deducting the ERP attributable to the minority interest. As you may recall from our investor day, our strategic goals for expansion have long included growing our core business, expanding into new asset classes and expanding into new geographies. As the next few slides will show, we are successfully executing along all 3 of these dimensions. Asset Acceptance represents our latest move as a leader in the consolidation of our industry and the integration is proceeding on schedule. For the past few months, teams at Asset Acceptance and Encore have worked closely to develop a comprehensive strategy to combine our operations. With that plan largely complete, we are now moving into the implementation phase. We have moved nearly 400,000 accounts from Asset to Encore and are consolidating certain support functions to drive efficiencies. All major project areas are proceeding as planned. This is a complex transaction but we have a strong track record of buying portfolio from competitors and integrating them into our efficient and low-cost platform. I want to thank the people of Encore and Asset Acceptance for continuous -- for the significant amount of time and effort to ensure a successful outcome. Propel, which represents our expansion into secured assets, continues to grow and contribute to Encore. Not only did our capital deployment grow significantly this quarter, to $60 million from $27 million last quarter, we deployed a significant amount of capital buying tax lien certificates in 4 different states. It is important to keep in mind that the $60 million that we deployed at Propel comes from separate credit facilities and does not take away from our ability to access capital in our core business. We view the tax lien business as a low risk complement to our core receivable business and are pleased how we've been able to build these separate pools of capital and earning streams to support our overall growth. We saw revenue growth over the last quarter and as we continue to grow Propel's book, we expect the revenue growth to continue. Operating income was lower in the second quarter due to seasonality as we incurred significant marketing cost to originate tax lien transfers. We expect the cost to be lower in the third quarter, which, combined with our deployment of capital in the second quarter, should result in higher operating income. We also completed the acquisition of a controlling stake in U.K.-based Cabot Credit Management. This acquisition, which will be immediately accretive, will enable us to deploy capital in the large debt purchase market outside of the U.S. and leverage the expertise and infrastructure we've built here at Encore. Our senior teams have already begun to work together to begin realizing the synergies between the 2 businesses. Our initial focus would be to help Cabot expand into the large secondary, tertiary and lower balance segment of the U.K. market by leveraging our deep analytical knowledge of these assets and utilizing our workforce in India during the day when this site is dormant. Cabot's Decisions Science and Analytics teams were in San Diego a few weeks ago beginning this process, and Paul, Manu Rikhye, the head of our Indian operations, and I were in London last week, setting the stage for integration activities. Although we are still very early in the relationship, I am pleased to report that our initial assessment of purchasing bonds in the U.K. continue to look attractive and Cabot's ERC just passed GBP 1 billion. It's worth mentioning that Cabot also exhibits seasonality in purchasing like Encore, with a light Q3 and a strong Q4. On the regulatory front, there have been some recent developments with the OCC and CFPB. The OCC provided guidance for credit issuers about their relationship with prospective debt buyers. By doing so, the agency has solidified the framework under which the issuers will sell receivables. Likewise, the CFPB provided a bulletin, advising of its oversight of debt collection practices to include original issuers. In addition to benefiting the consumer, we believe these agency guidelines encourage creditors engaged in debt collection to provide robust information to consumers about their obligations, which is an important element of responsible debt collection. We believe these 2 agency guidelines favor large debt buyers with extensive consumer services and compliance efforts such as Encore. As an aside, during the quarter, Encore saw a number of routine audits by leading credit issuers. This has deepened our existing relationships with these issuers, and we believe highlighted our industry-leading practices. All these developments confirm our belief that the industry consolidation we have seen to date will continue and we believe that Encore will continue to play a leading role in that process. In this active regulatory environment, Encore will continue to engage with regulators to raise industry standards and promote responsible debt collection, which is at the forefront of everything we do. Before handing it over to Paul, I'd like to take a moment to revisit the value creation model that we talked about during our investor day. This is our view of how we create top quartile shareholder return. The foundation is our management team, the ability of the organization to learn and adapt and the integrity, which we call principal intent, with which we operate. Pillar 1 is superior analytics, and those of who have followed us for some time know that this is a key differentiator for us. Our focus on the individual consumer, not the portfolio, is why we're able to collect more dollars more efficiently. This is one of the key factors that enables us to buy large portfolios from competitors such as Asset Acceptance and achieve higher levels of success than were attained previously. Pillar 2 is operational scale and cost leadership. This is one of the driving principles behind many of our business decisions and you can see it in the significant reduction in the cost-to-collect that we've experienced over the last few years. This reduction has been the result of many things, some of which include specialization in our call centers, our investment in international operations that are lower cost and our investment in our internal legal platform. These are some of the reasons that we're able to reduce our cost-to-collect 70 basis points year-over-year and they will be the drivers of future cost improvements going forward. Pillar 3 is strong capital stewardship. We are committed to deploying our capital prudently at returns in excess of our weighted average cost of capital and to the balance of the risk reward equation of any portfolio or business we purchase. In addition, we believe our ability to raise low-cost capital will enable us to continue to grow our business, achieve the growth targeted -- highlighted and create long-term value. Finally, the fourth pillar is our extendable business model, which creates scale for us . As I said earlier, the long-term growth of our business will include growing our core business, expanding into new asset classes and expanding into new geographies. We are executing along all these dimensions now, and we continue to look for growth opportunities that have leveraged the first 3 pillars. When you put all of these pillars together, we've got strong financial results in terms of growth, margin expansion, free cash flow and P/E multiple expansion. These are critical to achieve top quartile shareholder returns, which we are defining as long-term annual EPS growth of 15% or greater. Finally, I would like to recognize and thank Encore's more than 3,500 people for a fantastic quarter. The foundation of our value creation model rests on the shoulders of the people of Encore. Our results are a direct reflection of their collective effort and I appreciate their dedication and hard work. With that, I will turn it over to Paul, who will discuss our financial results in more detail.
Paul J. Grinberg: Thank you, Ken. As Ken discussed, we had a very strong second quarter even following the deliberate lower purchasing volumes in Q1 and Q2. As we go through the numbers in more detail, I think you'll get an appreciation for how effectively and efficiently we operate our business. Purchases in the quarter were $423 million including $381 million allocated to the portfolio we acquired as part of the Asset acquisition. These purchases lead to strong growth in ERC, which stood at more than $2.7 billion at end of the quarter. Taking into account that Cabot transaction, our ERC is expected to exceed $3.3 billion after deducting the ERC attributable to the minority interest. We believe that our ERC, which reflects the estimated remaining value of our existing portfolio is conservatively stated because of our cautious approach to setting initial curves and our practice of only increasing future expectations after sustained periods of overperformance. For example, as the result of sustained overperformance, we have slowly increased the multiples on a 2009, '10 '11 and '12 vintages to 3.0x, 2.8x, 2.5x and 2.0x, respectively, up from their initial levels of 2.4x, 2.2x, 2.0x and 1.8x, respectively. The $381 million allocated to investment in receivable portfolios was part of our preliminary allocation of the purchase price for Asset, which was performed in conjunction with a third-party valuation firm. The bulk of the purchase price was largely allocated to Asset's portfolio. When we closed the Asset acquisition, we expected $982 million of future collections from Asset's portfolio, representing a collections multiple of 2.6x. We also acquired Asset's cash fixed assets and other assets and assumed certain liabilities largely made up of Asset's deferred tax liabilities. The balance of the purchase price was allocated to goodwill, and it's primarily attributable to expected synergies when combining Asset with Encore. This purchase price allocation is preliminary and may change after we finalize our valuation. We collected a record $278 million including $21 million from the Asset portfolio, up 16%. Our call centers contributed 42% of the total collections or $117 million compared to $112 million. Legal channel collections grew to $134 million in the second quarter compared to $115 million and accounted for 48% of total collections. Finally, 10% of collections came from third-party collection agencies. Over the long term, we expect collections from this channel to continue to decline as we shift more of our work to our internal call centers at a lower overall cost-to-collect. As a result of the Asset acquisition, we expect to see a temporary increase in third-party collection as many of those assets had already been placed to third-party agencies at the time of acquisition. Because of our lower cost-to-collect and because we are better able to ensure a consistently positive consumer experience, we will continue to shift much of this work to our internal call centers. Consistent with our stated practice and in keeping with our Consumer Bill of Rights, we had no portfolio of sales in the quarter. Revenue from receivable portfolios was $152 million, an increase of 10% over the $139 million in the second quarter of 2012. As a percentage of collections and excluding the effect of allowances, our revenue recognition rate was 53% compared to 57% in 2012. For the quarter, we had $3.7 million in allowance reversals compared to $1.2 million of reversals in 2012. Looking at the breakdown by year, we had $57,000 of allowance reversals in the 2006 vintage, $237,000 in the 2007 vintage, $285,000 in the 2008 vintage and $3.1 million in ZBA allowance reversals. We had no allowance charges for the 2009 to 2013 vintages as has been the case since we acquired these portfolios. As many of you know, we account for the business on a quarterly pool basis rather than overall. When pools underperform, we take allowance charges, which are reflected as an immediate reduction in revenue. We measure underperformance against the current yield that is assigned to a pool, not as original expectations. With pool by pool accounting treatment, these inevitably lead to noncash allowance charges in certain periods even when we are overperforming a pool's initial expectation. In contrast, when pools overperform, that overperformance is not reflected immediately. Once we have evidence of sustained overperformance in a pool, we will increase that pool's yield. Unlike allowance charges, which are realized immediately, this increased yield will be reflected as increased revenue during the current and future quarters. Consistent with this practice and as a result of continued overperformance, primarily in the 2009, '10, '11 and '12 vintages, we increased yields in those pools this quarter -- Excluding acquisition related and other onetime costs, our overall cost-to-collect decreased 70 basis points to 38.8%. Direct cost per dollar collected in our call centers rose slightly to 6.1% in the second quarter versus 6% in 2012. While we continue to improve the efficiency of our call center operations, this quarter, we saw the effect of the Asset acquisition and the higher cost-to-collect in the call centers as we bring assets cost-to-collect in line with Encore's over the next few quarters, we should see a return to further improvements in our call center cost-to-collect. Direct cost per dollar collected in the legal channel was 33.3%, down from 35.7% in 2012 while cost-to-collect is an important metric, we don't focus on it in isolation. Overall, success in our business is driven by generating the greatest net return per dollar invested. We accomplish that by generating more gross dollars collected for investment dollar and what we believe to be the lowest cost for dollar collected in the industry. Over time, we expect our cost-to-collect to continue improving, but also expect it to fluctuate from quarter-to-quarter based on seasonality, the cost of investments and new operating initiative and the ongoing management of the changing regulatory and legislative environment. Our legal channel, which includes both legal outsourcing and our internal legal operations continues to be a strong contributor to the business, both in terms of dollars collected and cost-to-collect. Total dollars collected in our legal outsourcing channel was $117 million at a cost-to-collect of 34.5%. Total dollars collected in our internal legal channel were $17 million at a cost-to-collect of 54.5%. In 2011, our cost-to-collect in internal legal was over 200% as we were investing in our technology platform, hiring staff and opening new sites. As our volume in this channel increased, our cost-to-collect came down. Last year, our cost-to-collect was over 80% and this year, we expected it to drop even further. Over time, we expect our cost-to-collect and internal legal to decline to the high teens. In our 10-Q, which we filed earlier today, we've now broken out our legal cost-to-collect between our external and internal legal channels. This will provide investors with more visibility to our progress in reducing cost-to-collect in our internal legal channel. I'd like to reiterate that our long stated preference is to work with our consumers to negotiate a mutually acceptable payment plan tailored to their personal financial situation. These plans almost always involve substantial discounts from what is owed to us. We not only believe that this is the right thing to do for our consumers, but the right thing to do for our business. As mentioned earlier, collections reached an all-time high per quarter and continued investments in our operating platform give us confidence in our ability to expand upon the operating leverage created over the past few years. This growth in collection and cost improvement led to improved cash flows with adjusted EBITDA increasing 20% over last year. Adjusted EBITDA, which represents the cash we generate that is available for future purchases, capital expenditures, debt service and taxes was at $177 million in the second quarter. The strong cash flow allowed us to acquire Asset Acceptance and fund our portfolio acquisitions during the quarter while increasing net debt by just under $200 million. Largely due to the acquisitions of Asset and Cabot, we saw a number of onetime and noncash items this quarter. We had Asset-related deal cost of $3.6 million and deal cost associated with Cabot of $3.1 million. We also incurred consulting, severance and retention expenses of approximately $5.4 million. Some of these costs will continue in Q3 and Q4 although at much lower level. We also incurred $3.6 million of costs hedging the Cabot purchase price. Since the Cabot purchase price was denominated in pounds, we put in place a collar to protect ourselves from any negative movement of the pound against the dollar. The pound actually weakened after we put the collar in place, resulting in an accounting charge, but the weaker pound resulted in a lower dollar price for Cabot, largely offsetting this charge. Finally, we incurred $900,000 of noncash interest on the convertible notes. The total for all these items is approximately $17 million or $0.41 per share after tax. Without these onetime expenses, adjusted income from continuing operations increased to $0.85 per fully diluted share during the quarter. Earlier this year, we realized that with the Asset and Cabot transactions and the timing of purchases during 2013, it will be difficult for investors to model our business this year. As a result, while we typically do not provide earnings guidance, we're providing guidance for 2013 of $3.50 to $3.60 per share. Taking into account the Asset acquisition, the Cabot acquisition, which closed earlier in the quarter than initially expected and the increased yields in our 2009 to 2012 vintages due to their strong performance, we now expect 2013 earnings will comfortably exceed the upper end of that range. This strong performance is a direct result of the value creation model that we shared with you in detail at our investor day in June. Consistent with our past practice, we do not plan on providing updates to these guidance other than to reiterate that our goal is to continue to generate long-term earnings growth of 15% or more. We also completed the placement of $150 million of 7-year convertible notes at cash coupon of 3%. This provides us with long-term financing at attractive rates. After the quarter, the underwriters exercised their overallotment option, placing an additional $22.5 million of convertible notes. These notes were very well received by the market. We priced the convert at the low end of the coupon range and at the high end of the conversion range, and we were still able to upsize the deal from the $110 million transaction that we initially marketed. The convertible notes can be paid in cash, stock or a combination of the 2, at Encore's option. We also entered into a capped call transaction, which increased the economic conversion price up to $61.55 per share. Since the bond holders have the right to convert at $45.72, there will be accounting dilution above that level but no new shares will be issued by Encore unless the stock reaches $61.55 per share. The strong execution of the convert and the favorable terms demonstrates Encore's ability to access the financial market and the market support of our strategy and approach. While our total debt has increased from the previous quarter, so as our ERC. Taking into account collection cost and taxes, we are 1.9x collateralized on our debt. During the quarter, we amended our revolving credit facility twice to keep pace with our growth. The first amendment allowed for the Asset acquisition and increased the total facility to $975 million with a replenished accordion, which now sits at $162.5 million. We also made provisions allowing Propel to raise additional capital to grow its taxing certificate business, which it did through a new $100 million taxing certificate facility. Finally, we increased the subordinated debt basket to allow for our convertible debt issuance. The second amendment allowed for the Cabot acquisition. Our capital position remains strong with over $230 million available as of today for borrowing and the ability to add another $162.5 million from our accordion. With respect to the covenants in our credit facility, we estimate that we could borrow over $500 million in addition to our current debt and still be within compliance. At Propel, with the accordion, we currently have more than $125 million of available capital to deploy for tax lien transfers and certificates. Earlier this week, Cabot raised an additional GBP 100 million through an offering of senior secured notes. The bonds have a rate of 8 3/8% and a 7-year term. As Ken mentioned, one of the immediate opportunities we will be focusing on is the expansion into the secondary, tertiary and lower balance segments of the U.K. market. This capital, which we've raised on favorable terms, will enable us to expand our purchasing into these new market segments. In summary, Encore once again delivered a strong quarter across all key metrics by which we measure our business. Our capital deployment was strong another and while we expect wider purchasing in the third quarter as we absorbed the Asset portfolio, we expect a more normalized fourth quarter. We have excellent liquidity and access to low-cost capital so we are poised to take advantage of market opportunities as they arrive. Our $2.7 billion of ERC combined with our focus on operational execution build the base for continued strong cash collections. We remain focused on driving efficiencies across the business including Asset. With the acquisition of Asset and Cabot, we are well-positioned to continue the 15-plus percent long-term earnings growth we shared with our investor day in June. With that, we will be happy to answer any questions you may have. Operator, please open up the line for questions.
Operator: [Operator Instructions] Our first question comes from David Scharf with JMP Securities.
David M. Scharf - JMP Securities LLC, Research Division: Busy quarter. A lot of moving pieces here. Paul, I wonder if you can start with just helping us maybe understand the trajectory a little better in the second half, on the integration of Asset Acceptance. Maybe starting with how we ought to be thinking about how much collections are still going to be coming from third-party collection agencies? How quickly does that kind of wind down?
Paul J. Grinberg: It will be relatively consistent with the 3 to 4-quarter guideline we gave you as it relates to the cost. If you remember, we did a large purchase from one of our competitors in the second quarter of last year and it took about 3 to 4 quarters before we had migrated the bulk of those accounts to our platform. So it will be along the same timeframe.
David M. Scharf - JMP Securities LLC, Research Division: Okay. And along the same line, as we kind of look at the level of salary and employee cost in the quarter. Obviously, it didn't reflect the full 3 months contribution of Asset Acceptance. But it's sort of a starting point that, roughly, $32 million, $33 million. As you kind of integrate further, is that number excluding -- obviously, we've got Cabot to roll in as well, but just trying to get a sense for how to think about that figure going forward.
Paul J. Grinberg: Yes, so we have the Asset closed on June 13, so effectively a little more than half a month of their cost, and I think that we will have the full burden of those for the third quarter. But we will reduce those costs over time. And again, I think that you will see a blend of Asset's cost-to-collect and Encore's cost-to-collect in the sites for a period of time but after 3 or 4 quarters, we should be down to our cost-to-collect in general.
Kenneth A. Vecchione: And don't forget, in that $33 million was $3 million of onetime charges, too.
David M. Scharf - JMP Securities LLC, Research Division: Okay, got it. That's the GAAP figure. And it looked like there was still not an insignificant amount of purchasing in the quarter excluding the ACC allocation. With 40 odd million, was that just a result of kind of forward-flow commitments that you had to had to commit to? Or should we still have a little bit to model in for the third quarter even though you've kind of talked about taking a step back still?
Kenneth A. Vecchione: Yes, some of that was forward flow. Some of that was forward flow on Asset Acceptance. Some of that was portfolios that we won, and we won them at what we consider to be attractive IRRs. So I would expect Q3 to be maybe meaningful, too, or maybe a little bit higher than Q2 in terms of the organic growth of deployment. And then, Q4, I would expect this to be at a normal run rate as we see some issuers coming back into the market.
David M. Scharf - JMP Securities LLC, Research Division: Okay. And lastly, and then I'll get back in the queue. Just big picture, Ken, state of the market. I was reading the language in the queue regarding supply and pricing and it seemed to be very status quo oriented, such in so many words saying don't expect the supply and pricing environment to improve anytime soon. In your prepared remarks, however, you kind of noted that less-income, smaller competitors seem to be, for a variety of reasons, stepping back, exiting the business. We may have a couple large sellers entering the market. Just trying to kind of balance those 2 and get a more up-to-date line of thinking in terms of whether we think, come January, this is a materially improved pricing environment.
Kenneth A. Vecchione: Well, fair enough. So maybe taking a half a step back and looking at this holistically. We have seen the smaller players exit the market. And they're exiting for a variety of reasons. Some of it could be financing, some of it could be shrinking margins because of the cost to compete, i.e. cost of regulation is increasing. But still, the lion's share of the market is in 3 players' hands, and the top 5 players own about 85% of that market. The supply for the second quarter was down somewhat and that's obvious because some of the large national players are currently off the market as they retool, and reenergize or reengineer their debt sales process to meet the new regulatory expectations of the CFPB and the OCC. So what we have seen, though, in terms of pricing is the main competitive, but different parts of the market are demonstrating slightly different characteristics. So the fresh and the BK market we've seen pick up somewhat, and the later-stage paper, we have seen beginning of the flattening of rising prices. I think that as we go forward, we think that there will be one large player coming back in Q4. We hope the other players will come back into the early part of the year. And we'll see what happens with pricing at that time. For us, Asset Acceptance will have been mostly digested, we did 400,000 accounts as I noted -- converted. That was almost 100,000 more than we had anticipated so that convergence is going on track. And as we enter the fourth quarter, we're going to have the capacity to put more accounts and therefore, deploy more dollars out there. So we can build our pipeline and then build the accounts for our account managers.
Operator: Our next question comes from Bob Napoli of William Blair.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: Paul, you must be having a lot of fun with all the accounting on these acquisitions. You have another one coming.
Paul J. Grinberg: That will be even more fun.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: Just had a question on the OCC paper. They do say one thing to consider. There, it is that if you have international collections, they don't just say it, they don't say you shouldn't sell to somebody who collects internationally. But it says that it's a consideration. With the Asset Acceptance acquisition, do you -- or, I mean, I'm not sure if you're not going to be coating over the long run but you want to have a bigger presence of U.S. collections for those sellers and are there the sellers that will not sell if you are collecting outside of the U.S.? And so what do you think is the purpose behind that? Is it the ability to monitor compliance outside the U.S.?
Kenneth A. Vecchione: Okay. So 4 or 5 questions in there. Let me see if I can remember them in reversal order. Yes, I think, what's driving is making sure that the OCC is encouraging the bank, the issuers to be able to have a first-hand inspection and be on-site. So I think that's sort of where they're going and the compliance will be easier with the OCC in the CFPB's mind if they're domestic. For us, Encore -- Encore has the same policies and procedures whether we collect in Phoenix, San Diego, Costa Rica, St. Cloud or in India. So you're dealing with an Encore person at all times and they're held to the Consumer Bill of Rights, the same standards that both the CFPB and the OCC would like to see and there's no difference when we collect. There was a difference between outsourcing and offshoring. But here, as I said, and we tell this to all the issuers that have come through, and we have many presentations on this, that they're dealing with one Encore regardless where that phone call or that customer contact was made.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: Okay. So with the acquisition of Encore then, there is no intention to build out further the U.S. collections capability for those sellers. You're not seeing the sellers require or say "Encore, I want you to collect this in the U.S."?
Kenneth A. Vecchione: No, we have not seen that. We have not seen anyone come back and say they require us to do something.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: Okay. Then just on the tax lien business, say -- and I'm sorry, I missed some of the opening comments, the growth in that tax lien business this quarter, buying a portfolio and just looking at the revenue, what is going on with revenue yield? Did you buy that at the very end of the quarter? Because of -- your revenue was like in line or a little bit below what we were modeling which obviously had a much bigger portfolio.
Kenneth A. Vecchione: True, we had a much bigger portfolio. And most of those purchases came towards the back end of the quarter and back end of, really, the month, last month of the quarter.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: And then what is going on with revenue yields on the tax lien business? Versus a year ago, say?
Paul J. Grinberg: Like, I think, many other asset classes, yields are compressed. We saw generating very good risk-adjusting returns on that business, and as Ken mentioned and we mentioned in our investors day, we view this business as an opportunity to deploy incremental capital which doesn't take away from the core, and generate very good risk-adjusting returns. So while yields have, I think, come down everywhere over the last year, there are still very good yields that we're getting in that business.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: And Paul, you have a separate financing facility for that business. How -- what kind of leverage ratio can you maintain for the tax lien business?
Paul J. Grinberg: Depending upon which state. We're either deploying capital for buying tax lien certificates or originating tax lien transfer so the advance rates range from 80% to 90% or so. So it's really state dependent. But they're very strong advanced rates. So we can maintain very good levels of leverage there.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: Okay. So we'll see -- I mean, will you write that out separately, I guess, I'm not sure if that's broken out in the Q, did that put the tax debt in the equity, in the tax lien subsidiary or something like that?
Paul J. Grinberg: That is certainly broken out separately for that subsidiary.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: Okay. And then last question. I mean, do you intend to take Cabot beyond the U.K. anytime soon? Or the expansion in some of the products, is that all U.K.? Do you see opportunities outside of U.K. through the Cabot platform in Europe?
Kenneth A. Vecchione: Yes. Well, we closed Cabot just after July 1, and so, I think we have some work to do domestically inside of the U.K. first in terms of the opportunities that are there. I can tell you that we just came back from our board meeting and our operating meetings last week. I talk to Neil Clyne weekly, sometimes more than that. And I can't tell you how excited I am about the Cabot opportunity in terms of the opportunities to deploy dollars, their people, their talent and the overall momentum, both financially and operationally, that they have. So what we're going to do first is we're going to concentrate on continuing to grow that U.K. market. There's a lot of opportunity there both in what's coming to market and the opportunity to do debt consolidation. It doesn't mean we're not going to keep our eye on doing other things in Europe. So right now, since we're just a little over 30 days into it, I want folks to focus on what we said we're going to do and execute against what we call our collaborative activity, which is improving and the opportunity to go into the secondary, tertiary and the low balance part of the market, which can give Cabot a great deal of income and also allow us to use our India site during the daytime.
Operator: Our next question comes from Mike Grondahl of Piper.
Michael J. Grondahl - Piper Jaffray Companies, Research Division: Just real quick. You guys mentioned some of the smaller players had pulled out or kind of gone away for regulatory or financing reasons. What percent of the overall market you think has disappeared because of that?
Paul J. Grinberg: I think when you look at it, they are the top 5 players and if you go back probably, the last 2 or 3 years, those top 5 players have probably controlled 80% of the market and all of these other players come in and out maybe on a particular buy. But I don't think overall, that it's impacted. I was going to say it disappeared. If that makes sense.
Operator: Our next question comes from Mark Hughes of SunTrust.
Mark D. Hughes - SunTrust Robinson Humphrey, Inc., Research Division: In times past, you talked about some specific opportunities I think that you were attracting in the U.K. and thought those might be coming to market. Any update on that?
Kenneth A. Vecchione: No. We reviewed the Cabot pipeline last week. It looked strong . As I said, their third quarter has some seasonality like our third quarter does and they're optimistic about a strong fourth quarter. They exceeded their first half of the year buying goals and you could see that in the over GBP 1 billion now they have with ERC. And they are rumored to be some 1 or 2 large issuers that are going to be coming to market. And if they do, then we'll be ready to bid on those portfolios.
Mark D. Hughes - SunTrust Robinson Humphrey, Inc., Research Division: Right. When you are, back end of the fourth quarter, purchasing at a more normalized level, should we anticipate that all of your cash, free cash is going to go to portfolios? Are you going to be paying down debt systematically?
Paul J. Grinberg: We'll be -- we'll take advantage of the purchasing opportunities in the fourth quarter and deploy, given the market conditions, about what we've done in prior fourth quarters and whatever cash is left over, we'll take down debt. So any free cash that we have goes to pay down debt.
Mark D. Hughes - SunTrust Robinson Humphrey, Inc., Research Division: But at least at this point, there's not a strategy for using that on a more consistent basis, a delivered basis. If there's some leftover, you'll pay down debt, but you're not required to?
Paul J. Grinberg: Correct. Yes. It's a revolving facility, so we're not required to pay down if we don't want to. But we would because we're paying interest on it. So we're going to -- we'll pay it down. And we'll withdraw when we need to withdraw it; it's cyclical...
Mark D. Hughes - SunTrust Robinson Humphrey, Inc., Research Division: Yes. In the cash of operations, there's this impact from prepaid income tax, deferred income taxes, was that related to the transaction or is there something else going on in there?
Paul J. Grinberg: It's normal course.
Mark D. Hughes - SunTrust Robinson Humphrey, Inc., Research Division: It looked a little bigger, more negative this quarter than prior quarters.
Kenneth A. Vecchione: Yes. It was a little higher this quarter. It was also a little bit higher in the second quarter of last year. But it's normal course. Nothing unusual.
Mark D. Hughes - SunTrust Robinson Humphrey, Inc., Research Division: Right. And then, interest expense in the third quarter, when you put all this together. Can you give us kind of a range as you're modeling it? How should that shakeout?
Kenneth A. Vecchione: Well, we've given you a breakdown of all of our -- all of the components of debt and I think we've got disclosure in there in terms of what the coupon is on the debt for the new converts that we just did. The accounting rate of interest will be 6.35%, that compares to 6% in the November converts. So I think with the disclosure on the debt levels and the cash generation of the business, you probably have a good sense of the average debt outstanding for the quarter. So I think that's probably the best way to do it, Mark.
Mark D. Hughes - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And then I'd be remiss if I didn't see if you could expand a little bit when you say you think you think you'll be comfortably ahead of the prior guidance. Any more language you want to throw at comfortably?
Kenneth A. Vecchione: And that was the language that we chose, and I think what that means is that we feel comfortable. It means we can give you that without a lot of stretched reins around it.
Operator: Our next question comes from Larry Berlin with First Analysis.
Lawrence Berlin - First Analysis Securities Corporation, Research Division: A couple of small things I missed as you guys -- I can't type [indiscernible] speak. First of all, what were the 0 basis collections for the quarter?
Paul J. Grinberg: DDA was 3 and change. I'll get give you an exact number in a second, but, I think, it was 3 -- DDA revenue was 4.7 and DDA collections -- the DDA revenue was 4.7, which was about where collections are.
Lawrence Berlin - First Analysis Securities Corporation, Research Division: Okay, great. Second of all, on the -- what is the face value of what you purchased not through Asset Acceptance in the quarter, but debt you purchased. You gave the price you pay; can you discuss what the face was?
Kenneth A. Vecchione: I don't have that with me here. I just have the total though, we don't have that here.
Lawrence Berlin - First Analysis Securities Corporation, Research Division: Okay. Then on the stuff that you bought with Asset Acceptance, do you have a total for the quarter, you said $68.9 billion added on? Is that right, you think? So that stuff is generally really, really old and a lot of it, as you ran it through your stats, is just going to be non-collectible. Or shall I look at that more positively?
Kenneth A. Vecchione: Well, I think, when we announced the asset deal, we mentioned that the bulk of that portfolio represents accounts we're not going to be working at all. So the out of stat [ph] accounts, the older accounts; accounts that are in certain asset classes that we typically haven't acquired like medical or - we just will not be working at all, so it's a very small percentage of that $68 billion of stakes that will be actively engaging with those consumers.
Lawrence Berlin - First Analysis Securities Corporation, Research Division: Okay, and lastly, the Asset had been working for 2, 3 years on their own platform. And of course, you guys suspect -- feels that you have a much better platform. Do you now convert their employees in Warren, Michigan and so forth to your platform and jettison it? And then how -- lastly, how do you feel about their legal platform? Do you look and say in a while, "We can adopt this." or do you leave it alone?
Kenneth A. Vecchione: Yes, so I've said that the Asset transaction was somewhat of a complicated transaction. I look at it into 3 thoughts. First, there's the reduction of the public company infrastructure, which we just eliminate, that's the first thought. Second thought is taking account off of the Asset platform and moving them on to the Encore platform, which we are doing, and, as I said, we did 400,000 accounts just the other day. And then, the third part of the transaction is us -- migrating us, the Encore, migrating to Asset's internal legal platform. So we've got several things going on here and what we tried to do is pick the best of breed between the 2 companies.
Operator: Our next question comes from Edward Hemmelgarn from Shaker Investments.
Edward Paul Hemmelgarn - Shaker Investments, L.L.C.: It's about the Asset Acceptance portfolio that you acquired. Could you describe a little bit what your expectations are for the collections profile and how it might differ from a typical, I guess, there is no such thing as a normal asset purchase. But how -- since it's such a large amount of purchases, how the curve might be different than what your typical curve is?
Paul J. Grinberg: The big difference, Ed, is due to the fact that when we acquired Asset, the portfolio was paying. So typically, when we acquired the portfolio, most of those consumers are not paying. And so there is not as much cash generated out of the gate. The Asset portfolio, there's strong cash collections immediately because are a lot of consumers already paying in account manager queues. That would be the most significant difference from a portfolio that we would acquire so the curve will be -- won't be as deep as a typical curve that we see because of the large number of payers.
Edward Paul Hemmelgarn - Shaker Investments, L.L.C.: What would you expect to -- to get more because it adds more in the first few years or something than you typically do?
Paul J. Grinberg: That's correct.
Operator: I'm not showing any further questions at this time. I'd like to turn the conference back to our host for closing remarks.
Kenneth A. Vecchione: Thank you, everyone, for joining us and we look forward to talking to you at our third quarter call. Thanks, again. Enjoy.
Operator: Ladies and gentlemen, that concludes today's presentation. You may now disconnect, and have a wonderful day.